Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the New York Mortgage Trust Second Quarter 2023 Financial Results Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. [Operator Instructions] This conference is being recorded on Thursday, August 3rd, 2023. A press release and supplemental financial presentation with New York Mortgage Trust's second quarter 2023 results was released yesterday. Both the press release and supplemental financial presentation are available on the company's website at www.nymtrust.com. Additionally, we are hosting a live webcast of today's call, which you can access in the Events & Presentations section of the company's website. At this time, management would like me to inform you that certain statements made during the conference call, which are not historical, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although New York Mortgage Trust believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, it can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from the expectations are detailed in yesterday's press release and from time to time in the company's filings with the Securities and Exchange Commission. Now, at this time, I would like to introduce Jason Serrano, Chief Executive Officer. Jason, please go ahead.
Jason Serrano: Thank you. Good morning, everyone. Thank you for joining our second quarter 2022 earnings call. With me today is Nick Ma, President; and Kristine Nario, Chief Financial Officer. I will begin by providing some market information and briefly touch on the second quarter update before passing the call to Kristine, who will discuss our quarterly results in more detail. Nick will then provide additional commentary with respect to our portfolio and market opportunity. Starting on page seven of our supplemental, over the past few quarters, we have highlighted market data plans and various graphs to help inform our rationale behind key company management decisions. Last quarter, we showed a table that illustrates the time measured in months to recession given the inversion of different tenors of the yield curve. The data indicated that the US economy would be in a recession at this time, which correctly predicted 10 out of the 10 recessions since 1957. The recent rate hike bring the effective funds rate to 5.25% is the most on record and has occurred at the fastest pace ever. So, the question is why the Fed hikes have not materially dented economic growth forcing higher unemployment? I believe this is the biggest story of the year and can be answered by looking into US government fiscal spending. Current economic growth seems to be financed through continued and substantial fiscal easing policies. Fed's balance sheet growth, 14% year-over-year were $6.7 trillion over a 12-month rolling basis materially neutralized the rate move. Federal spending level has not only accelerated in recent months, but is up $2 trillion, which is 50% from pre-COVID spending. Astonishingly, this is a time when unemployment is pinned below 4%. And never seen before, the administration with the assistance from Congress is running a 6.3% GDP ratio at a time of full employment. Fitch recently took offense to this US physical situation with a downgrade earlier this week to US debt from AAA to AA+ with the $1 trillion of debt sales expected in Q3 and interest payments projected to take 20% of government revenue from 9% two years ago, a serious constraint lies ahead and fiscal growth continue to offset the demand destruction caused by higher rates. For Maryland, the economy is not as healthy as advertised. Many asset pricing for credit investments in our sector, do not reflect the credit downturn. However, over the past six months, this is not entirely incorrect. However, one can see an inflection point to consumer credit strength with credit and auto defaults hitting two and three-year highs, respectively. Not to mention personal bankruptcies edging up 10% year-over-year. Looking at page 8, thus far, I have not addressed the stress the market is observing in the regional banking system. Banks with $10 billion to $250 billion, Deposits are the only cohort showing deposit declines, which, of course, is the cohort where regional banks reside. Exacerbating these concerns was the highly anticipated announcement made by the FDIC a week ago, sorry, this week. The FDIC Board of Director' provide details to capital requirement changes for banks with $100 billion in assets. The changes address the desire to align capital change charges with International Standards of Basel 3 and to address recent bank failures. The increased capital requirements further diminished bank's lending and balance sheet capacity. Due to this, it is assured, we will see more shrink to grow strategies through bank mergers, where assets are shed to short bank balance sheets such as the case of the recent PacWest Bank of California merger. The opportunity presented here is significant to NYMT in two different ways. First, we are seeing pricing portfolio sales from banks. We expect to see this flow increase at more attractive prices for potential investments and to include trades of differing sizes and asset types particularly late in the year with bank sheet cleanup activity. Secondly, we expect to grab a larger market share with lending opportunities to increase our book within multi-and single-family, given lower banking competition. We believe this will translate to higher coupons and more stringent lending requirements in coming months, which we see as favorable to NYMT earnings. This is an extremely exciting market development for us. Moving on to page 9 is the continuation of our strategic plan. As discussed in the past, we sharply curtailed investment activity in April 2022, shortly after the Fed's first rate hike. Reducing the portfolio through runoff and not reallocating at the lower market coupons at that time, afford us the flexibility today, achieved through excess liquidity, a low debt load and low-cost operating structure. Not only do we believe we have avoided material, credit risk that may surface from loans produced at peak valuations over the second half of 2022. We avoided material extension risk to our capital from locking in tight NIM financing structures. Today, we are more constructive on asset opportunities, as loan coupons have reset higher in consideration of higher funding costs. With this improvement alongside of selling pressure from regional banks, our capital deployment is increasing with superior risk-adjusted returns than available earlier. On page 10 to the top right shows earlier efforts to shrink the Bank's balance sheet. Unfortunately, it was stepping out of the market in many ways. We sacrifice short-term interest income to capitalize on longer-term value for our investors. This was intentional. And we believe the right call. While we didn't forecast today's pressures for banking consolidation and an opportunity presented by it, we did expect history to repeat with market liquidity issues from asset liability mismatches in the financial community. We are looking forward to unlocking the $0.5 billion of dry powder by capitalizing on liquidity issues, especially within the Regional Bank space. Earlier impact of investment activity in Q2 was made primarily within the Agency space, as interest income increased after two quarters of sequential declines. We look to improve on this performance over the near-term. Quick highlights from the quarter on Page 11, before passing on to Kristine. Our performance in this period was negatively impacted by taking impairments to our multifamily JV equity positions held for sale, 15 properties in total. As Nick will discuss in more detail in the portfolio managed discussion, after adjusting for higher market caps and increases to insurance and taxes, particularly in Florida and Texas, we took impairments of $17 million, which contributed to under -- which contributed to undepreciated loss per share of $0.38. Including impairment operating results and sale activity of our four properties, our JV equity portfolio reduced adjusted book value by $62 million in the quarter, mainly contributing to the adjusted book value decline of just over 7%. As discussed, we increased our balance sheet in the quarter with $664 million of acquisitions, including $564 million of Agency RMBS. Due to the addition of agency bonds, our company recourse leverage ratio increased to 0.7 times from 0.4 times in the previous quarter. With this increase, we still maintain exceptionally low company leverage overall. Utilization of leverage within our credit book is flat from last quarter at 0.3 times, reflecting our desire to maintain high flexibility in Q2. At this time, I will pass the call to Kristine to provide the financial commentary. Kristine?
Kristine Nario: Thank you, Jason. Good morning. In my comments today, I will focus my commentary on the main drivers of second quarter financial results. Our financial snapshot on Slide 13 covers key portfolio metrics for the quarter, and Slide 26 summarizes the financial results for the quarter. As Jason discussed, the company had undepreciated loss per share of $0.38 in the second quarter, as compared to undepreciated earnings per share of $0.14 in the first quarter. We had net interest income of $15.1 million, a contribution of $0.17 per share, down from $0.20 per share in the first quarter. Our adjusted interest income for the quarter increased to $51.6 million from $50.8 million in the first quarter. This is due to the $546 million investment in Agency RMBS made during the quarter, which offset a decrease in interest income related to continued runoff of our higher-yielding short-duration BPL bridge loans. The increase in interest income was offset by a $1.95 million increase in adjusted interest expense due to the financing of purchases of Agency RMBS during the quarter as well as the financing of our SFR portfolio. This was offset by the net interest benefit of our in-the-money interest rate swaps. We had non-interest-related income of $25.5 million or $0.28 per share in the second quarter. Our consolidated multifamily JV properties contributed $0.49 per share in income, an increase from $0.46 per share in the second quarter, as properties continue to implement business plans to drive rents higher. Our mezzanine loan book accounted for under equity method, contributed $0.06 per share in income unchanged from the first quarter. As Jason mentioned, during the quarter, we recognized $8.9 million or $0.10 per share of unrealized losses due to an increase in interest rates, which impacted the pricing of our residential loan book and investment in consolidated SLST, partially offset by gains recognized on our interest rate swaps and caps. In addition, we determined that four out of the 13 consolidated multifamily properties held for sale had lower property valuations as compared to our GAAP carrying costs, resulting in an impairment loss of $16.9 million or $0.19 per share during the quarter. The sale of four consolidated multifamily properties did not have a significant impact on GAAP earnings this quarter. After considering the share of non-controlling interest holders, the sales resulted in a GAAP net loss to common shareholders of $0.6 million. Total G&A and operating expenses amounted to $71.4 million for the quarter, up slightly from $70.4 million in the previous quarter, primarily due to an increase in interest expense on mortgages payable on consolidated real estate due to change in base rates. This increase was partially offset by reduced net servicing fees on our declining BPL bridge portfolio, which are included in portfolio operating expenses. As Jason mentioned earlier, adjusted book value per share ended at $14.32, the 5.13% economic return on adjusted book value during the quarter. The main drivers of adjusted book value change were a $0.41 basic loss per share, our declared dividend of $0.30 per share and negative $0.43 per share, primarily due to the removal of cumulative depreciation and amortization add back attributable to the four consolidated multi-family properties sold during the quarter and four consolidated multi-family properties for which impairment was recognized during the quarter. As of quarter end, the company's recourse leverage ratio and portfolio recourse leverage ratio increased slightly to 0.7 times and 0.6 times respectively from 0.4 times and 0.30 times as of March 31. While our financing leverage remains low relative to historic levels, the slight increase in the quarter is primarily due to the financing of newly acquired highly liquid agency RMBS. Currently, only 36% of our debt is subject to mark-to-market margin cost, which is comprised of 21% agency and 15% credit. The remaining 64% have no exposure to collateral repricing of our counterparties. In addition, as you can see on slide 14, we have $100 million of unsecured fixed debt due in 2026 and $45 million of subordinated bonds due in 2035. As mentioned in previous quarters, the maturity profile of our corporate debt allows us to have more flexibility by avoiding cash holdbacks related to near-term bond maturities. We paid a $0.30 per common share dividend down from $0.40 to prior quarter. We continue to evaluate our dividend policy each quarter and look at the 12 to 18-month projection of not only our net interest income but also realized our capital gains that can be generated from our investment portfolio. With that said, we wanted to note that we expect undepreciated earnings per share to remain below the current dividend, given the rotation of excess liquidity in the asset ramp over the next quarter. And with that, I will now turn it over to Nick to go over the market and strategy update. Nick?
Nick Ma: Thank you, Kristine. Good morning, everyone. We have remained patient over the past few quarters. We have opted to conserve capital and liquidity to deploy doing a more favorable investment environment for longer-term value. In the quarter, after the Fed's historic rate hiking cycle, noted by its exceptional pace, we may be approaching a cyclical peak in rates. However, there is still plenty of uncertainty on the ultimate path of inflation, interest rates and the cumulative effect of the Fed's actions on the overall economy. From a portfolio positioning perspective, we are now taking a more balanced approach in stabilizing our asset portfolio decline through more investments. We are still focused on acquiring assets that can be resilient through a potential credit downturn. Investment activity grew meaningfully in the second quarter. We had $664 million of portfolio acquisition. This is almost three times more than the prior quarter. And the highest amount since we curtail purchases in the second quarter of 2022. Notably, $546 million of those acquisitions were in Agency RMBS. We capitalize on elevated spreads in agencies that unfolded in the second quarter. BPL bridge loan purchases have also begun to increase, as our origination partners adjust to our pricing and more stringent underwriting criteria. Over the last few quarters, we have reiterated our focus on asset management across our entire credit portfolio given the assets even. That holds true, in particular, for our BPL bridge portfolio, as more of those loans reach maturity. When we initially targeted the BPL bridge as a short duration opportunity, we were cognizant that any significant decline in purchase activity from its peak will result in a rapid decline in portfolio size. This dynamic is a positive from a deleveraging perspective, but commensurate with that is an increase of maturity-related defaults and a higher delinquency amount reported on a smaller and smaller portfolio base. Both of these effects we are seeing today. The chart on Page 19 highlights the BPL bridge portfolios declined from the peak in Q2 of 2022 of $1.7 billion to $933 million today. For each incremental delinquency that materialized over the past 12 months, our BPL bridge portfolio has experienced an almost seven times more net reduction in portfolio size. Furthermore, the portfolio is now aged 15.4 months, bumping up right next to the average original term of 16 months. We expect that the delinquency percentage, absent a significant increase of BPL bridge acquisitions will continue to rise as the portfolio ages and pays down. With respect to performance, we still collect a consistent amount of cash flow on the BPL bridge portfolio. On a 12-month average, we have received cash flows equivalent to 95% of the scheduled interest across the portfolio not including principal paydowns. That trend has been relatively stable over the past few months. Not only are many of the delinquent assets ultimately resolving with a catch-up of their past due interest amounts but our interest cash flows are further bolstered by ancillary proceeds. Those come in the form of late fees, extension fees and default interests. Principal losses across BPL bridge loans are still muted less than 1 basis point of our total invested amount to date as of the end of the second quarter. Overall, within residential credit, we still see BPL bridge as presenting compelling risk-adjusted returns. The portfolio is performing to expectation, as we navigate the assets to resolution with the goal of loss minimization. Fortunately, we are winding down the portfolio into a tight housing market. There is still a scarcity of housing inventory as many borrowers with lower mortgage rates are locked into their homes. Existing home sales are still lingering at a decade low. Because of these factors, HPA has been relatively stable despite the higher mortgage rates brought on by the hiking cycle. This housing backdrop is positive for not only our BPL bridge loans, but also for BPL Rental and our other credit-related whole loan assets. In the quarter, we also continued to add to our Agency RMBS positions. We have not had a significant exposure to this sector since Q1 of 2020. Today, however, we find a more attractive investment environment for agencies given the wide spreads. In April and into May, there was an overhang from the regional bank crisis and the escalation of the debt ceiling negotiations. All, while the Fed was taking a more hawkish tone in response to macroeconomic data. This culminated in current coupon spreads peaking in May, which moderated through June, when several of these market risks dissipated. We believe that Agency MBS provide a diversified risk profile to our broader credit book, as Agency MBS have historically outperformed during recessionary periods. We also stand to benefit from building a portfolio today, not only due to a higher interest rate environment, but also having the ability to scale into production coupons that present better spread and carry profile versus down in coupon assets. As it stands as of quarter end, our $640 million agency portfolio is still relatively homogeneous with the entirety of the portfolio consisting of liquid 5.5% coupon spec pools. And we have been aggregating spec pools with minimal payouts, about 0.25 point on average for additional prepayment protection. In terms of hedging, we have used a combination of swaps across different tenors with the target of being duration neutral at purchase. We ended the quarter with leverage on our Agency book of 7.2 times. Given the low utilization of leverage in our overall credit portfolio, we have room to apply increased leverage on agencies as we ramp up. Overall, we expect a levered return across our Agency MBS book to be in the mid to high teens depending on leverage. We believe that there will be positive tailwinds for agencies going into the second half of the year. As of last week, FDIC has already sold 84% of the $114 billion of mortgage pass-throughs from the failed regional bank portfolios. This liquidation process should be substantially complete by the end of the year. We expect that the supply/demand dynamics and the better seasonal factors going into year-end to be beneficial to the Agency MBS market. Interest rate volatility has also been slowly abating since its recent peak in March. Moving on to multifamily. Our core focus here remains the asset management of our existing positions, as well as the continued divestiture of our held-for-sale joint venture equity positions. We have made progress in that regard in the second quarter and have provided further information on this in slide 23. We are also seeing a growing pipeline of deals in the multifamily med sector at 14% to 15% returns given the upcoming maturity wall of senior bank debt in the multifamily space. Across our multifamily portfolio, we continue to see positive annualized rent growth in 2023, with 4% in our mass portfolio and 7% in our JV equity portfolio. This follows a more expansive rent growth in both 2021 and 2022. This positive rent growth has been helpful to offset some expense pressures driven by inflation and higher rates. Our multifamily mass portfolio continues to prepay consistently over the year, with 13% of the portfolio paying off this year thus far, netting a 1.41 times multiple. We are pleased with the performance of the multifamily met strategy and as I mentioned earlier, we'll look to deploy capital here judiciously into the future. Now, relating to our JV equity sales, we have made progress by selling four of those positions in the quarter. This resulted in a realization of 93% of the first quarter's carrying value. This disposition process continues in earnest with PSAs executed on two additional multifamily JV equity properties. These two PSAs are at prices that are estimated to imply an increase of $10 million on an adjusted book value basis, and although we are past the due diligence phase, we are cautiously optimistic that they will close in the third quarter. On top of this, we have continued to actively market the remaining 13 properties. Even though we have historically been selling properties individually, we are also pursuing a combination of selling the portfolio as a whole or in groups with overall execution and speed being factors that will determine the eventual outcome. The market provides more challenges than when we first initiated the process to sell down our JV equity position. There has been an anemic volume of actual sales as market participants wait for financing rates to settle down. This slump in market activity has slowed down the disposition time lines and has impacted some of the prices of properties that we have sold or continue to hold on our balance sheet. We look forward to continuing to unlock liquidity from these sales to be able to redeploy into accretive assets. And with that, I will now pass it back to Jason.
Jason Serrano: Thank you, Nick. We believe our flexible balance sheet enables us to seek new opportunities such as operating businesses that can add value in this market where we can leverage our deep experience in our asset management platform to unlock value. We're looking forward to the opportunities and the challenges that come ahead. We believe this market is a market where flexibility and liquidity will drive value. With that, I'll pass it back to the operator for questions.
Operator: Thank you. We will now conduct the question-and-answer session. [Operator Instructions] Our first question comes from Doug Harter at Credit Suisse. Your line is open, Doug
Doug Harter: Thanks. Just hoping for a clarification on the comments around the four sales in the quarter, that 93% of carrying value, is that a GAAP carrying value or kind of the economic carrying value that would be an economic book value.
Kristine Nario: That is GAAP carrying value.
Doug Harter: Okay. But then you said the two that you had the PSAs on, that would be -- and prices $10 million in north of the economic carrying that
Kristine Nario: That's right. That's correct.
Doug Harter: And then - I guess just on the strategy to sell, I guess, can you talk about the rationale to continue to sort of push forward with the sales versus maybe taking a pause and waiting for a better environment if the operating cash flows still remain attractive and kind of -- why is now still the right time to sell?
Jason Serrano: Yes, I'll take that. This is Jason. So the rationale on the sale is really twofold. One, we're looking at the operating income and seeing what other opportunities are available and looking at the total return with respect to reinvesting that capital into other items. The process we've taken on the sale has been patient. This is not a for sale process. We have taken bids in from a number of counterparties and passed on a number of options, including larger portfolio transactions. So we think we -- given our liquidity position, we're not at a point where we need to accept the next bid that comes through and therefore, continue marketing these assets, we believe, is the right strategy, given some higher returning opportunities that we're seeing with better upside value in the market. Now our assets are located mostly in the South and Southeast part of the decline in value that we experienced was a function of the fact that we have higher taxes primarily in Texas and the insurance-related issues of insurers leaving the market in Florida, so property insurance is down a lot more expensive on top of some overhead. So that's more of an operating item and then a slight adjustment to cap rates. But overall, we do like what we have as far as the portfolio. We like the rent growth that we're seeing, we like the transition plans that we're continuing to work on with the CapEx budgets that are already pre-funded in those transactions in those properties. So it's business as usual with respect to those assets. It's just the question of whether or not we can find an attractive exit point that allows us to reinvest that capital in more accretive assets.
Doug Harter: Great. Thank you, Jason.
Operator: Thank you. [Operator Instructions] At this time, I would like to turn it back to the speakers for any further comments. Thank you.
Jason Serrano: Thank you, operator. Well, thank you for your time today. We look forward to speaking with you on our third quarter call and provide a financial update and business update with respect to our business. Thank you very much, and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now be disconnected.